Operator: Good day, ladies and gentlemen, and welcome to the first quarter 2008 Emergent BioSolutions Inc. earnings conference call. My name is Karen and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be facilitating a question-and-answer session towards the end of this conference. (Operator instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call, Mr. Robert Burrows. Please proceed.
Robert Burrows: Thank you, Karen, and good morning, ladies and gentlemen. Again, my apologies for the earlier comment. Thank you for joining us today as we discuss Emergent BioSolutions' financial results for the first quarter of 2008. As discussed our call today is open to all participants. In addition, the call is being webcast, conferenced and is copyrighted by Emergent BioSolutions. Joining me on the call this morning is Fuad El-Hibri, our Chairman and Chief Executive Officer and Don Elsey, Chief Financial Officer. Additionally, other members of senior management will be present on the call for purposes of Q&A. They include Dan Abdun-Nabi, President and Chief Operating Officer of the company; Dr. Jim Jackson, Chief Scientific Officer; Dr. Dr. Mike Langford, President of our BioDefense Product Development Group. The agenda for today's call will be, following my brief introduction, we will provide comments on the accomplishments in 1Q 2008 and key objectives for the remainder of 2008. Don will then discuss in detail the 1Q 2008 financials and comment on financial guidance for 2008. We will finish the call with the customary question-and-answer session. Please note that any statements about the company's prospects or future expectations are forward-looking statements. As you know, forward-looking statements involve natural risks and uncertainties and as a result may differ materially from expectations. Please refer to the press release issued earlier today and importantly to our filings with the SEC for more information on our risks and uncertainties that may cause actual results to differ. Also Emergent BioSolutions assumes no obligation to update the information in today's press release or as presented on this call except as may required by applicable laws or regulations. Today's press release could be found on our web site at www.emergentbiosolutions.com under investors/press release. With that, I would now like to turn the call over to Fuad El-Hibri, our Chairman and CEO. Fuad?
Fuad El-Hibri: Thank you, Bob. Good morning everyone and thank you for joining us today. As you know, this morning we reported strong financial results for the first quarter of 2008. Our financial performance during the quarter reflects our continued strength of generating consistent cash flow through sales of BioThrax. We then reinvest that cash into the development of our pipeline of vaccines and therapeutics causing infectious diseases. As we continue to build Emergent into a leading force in the biopharmaceutical market, we believe this strategy will continue to be effective in building long-term value. During first quarter of 2008, we continued to achieve both financial and operational success. Operationally, we continued to sell more of our licensed product, BioThrax, and we accomplished key product development milestones. We advanced our manufacturing expansion program and we achieved various business development objectives. As we look towards the remainder of 2008 and beyond, I'm confident we will continue to achieve our financial, operational and corporate objectives. Let me begin with a brief word on our financial accomplishments during the first quarter of 2008. We reported significant year-over-year growth in revenue with total revenues up 62% over last year to almost $43 million. We also achieved a net income of around $7 million. A more detailed discussion of our financial results for the period will be provided by Don in a moment. As we have said before, our approach is to reinvest internally cash flow into our product pipeline of vaccines and therapeutics to address significant unmet or underserved medical needs. To that end, we invested $11.5 million in our development program while finishing the first quarter, with more than $90 million in cash. This cash balance positions us to pursue the acquisition of a late stage product candidate that broadens and deepens our commercial products portfolio. In parallel, we have also expanded our biodefense pipeline through two recent acquisitions. I will talk in greater detail about each of these transactions in a few moments. Let me turn now to our operational accomplishments specifically marketing and sales, product development and business development. I will begin with our marketing materials accomplishments. We continue to deliver contracts to HHF for improving in the strategic, national stock file under our current multi-year contract. As a reminder this is $448 million contract that includes the procurement of 18.75 million doses of BioThrax over a three-year period. Internationally, we completed another meaningful sale of BioThrax to an allied foreign government. We also continued to develop growing interest from a number of other countries. One example is Malaysia where we recently established a joint venture to supply BioThrax and other medical and biodefense products and related services to the Malaysian government. We continued to pursue licensure of BioThrax in select foreign markets which we believe will facilitate sales for government and big markets, for both military and civilians (inaudible). Moving on, I will now comment on certain product development accomplishments. During the first quarter of 2008, we successfully advanced our pipeline of candidates, specifically with respect to our anthrax IG therapeutic candidate. We continued to conduct the necessary nonclinical trials in accordance with the FDA animal rule while preparing for the initiation of the pivotal human trial, which we expect to initiate later this year. Based on an existing procurement contract with another company, we estimate the current market opportunity for this anthrax therapeutic alone to be up to $750 million. For the single dose oral typhoid vaccine, we focus on preparations for initiation of a Phase IIb trial in the United States following a successful Phase II trial in Vietnam, which was completed last year. Importantly, this product would be the world's first single dose drinkable typhoid vaccine which will provide significant advantages over the two (inaudible) U.S. licensed typhoid vaccines. In terms of market opportunity, we see significant potential market growth in providing a differentiated product for typhoid. Analysts currently estimate the markets to be between $100 million and $120 million annually with growth potential to nearly $200 million within five years. However, as our product candidate will be a single dose oral product with potential effectiveness with (inaudible), among other attributes, we are confident our approach to potentially expand the market not only in the U.S. and EU, but more importantly within endemic regions and specifically the growing affluent population in India and China. These population segments are rapidly increasing in both India and China and even a small percentage uptick from these groups would equate to a substantial additional market opportunity. And with respect to our current Phase II clinical trial for our hepatitis B therapeutic vaccine, we have completed recruitment for the first cohort. Let me now turn to our manufacturing accomplishments for the quarter. We are currently performing process validation at our new state-of-the-art manufacturing facility in Lansing as planned. Specifically, we are in the process of working toward manufacturing our three consistency lots, which we expect to be completed by the end of 2008. Remember, this facility is campaign-able. It has been designed and constructed to enable us to manufacture on a large-scale basis BioThrax as well as other vaccine products such subject to compliance with the appropriate change over procedures. I am pleased to report that this new facility is coming in within budget. We also recently commissioned a pilot line on our Lansing campus to support the manufacturing of clinical material, an expansion to the pilot plant to accommodate different manufacturing processes. Lastly, let me review key accomplishments with respect to our business development activities. During this quarter, we continued to develop partnerships with government and non-government entities in strategic growth markets. Specifically, as I mentioned before, we formed a joint venture in Malaysia with 9Bio to supply BioThrax and other medical and biodefense products and related services to the government of Malaysia as well as potentially other countries within Asia. Additionally, and consistent with our strategic goals, on March 6, we announced the acquisition of an anthrax monoclonal antibody. This acquisition expands our anthrax franchise and enables us to develop an additional therapeutic candidate in parallel to our anthrax immune globulin or AIG therapeutic. Our AIG candidate continues to be well positioned for a potential procurement contract as early as next year. And more recently on May 1, we announced the acquisition of an advanced recombinant anthrax vaccine candidate, rPA102 from VaxGen. More details on this latest acquisition in a moment. But it is important here to remind everyone that with this acquisition we are further rounding up our anthrax franchise. We now have an FDA licensed anthrax vaccine, BioThrax, a next generation rPA anthrax vaccine candidate, and two anthrax therapeutic candidates based on both monoclonal and polyclonal antibodies. With our multi-product offering for anthrax, we are well positioned to provide both the U.S. government and other governments internationally with a full complement of medical countermeasures to protect both military and civilian populations against the threat of anthrax. Now, let me update you on our outlook for 2008. I will start with our marketing and sales objectives for this year. Our primary objective is continued delivery of doses of BioThrax to the SNS under our current $448 million three-year contract with HHS. We are looking towards expanding sales of BioThrax for the U.S. government by satisfying the Department Of Defense's continued requirement under its Anthrax Vaccine Immunization Program. We are also expanding the reach of BioThrax to other governments through the appointment of additional marketing agents and distribution partners in key foreign markets. And with respect to our typhoid candidate, we are working to establish a sales and marketing plan for product launch and commercial sales growth. More specifically, we anticipate a two-pronged approach to addressing this market. With our primary target market being travelers in the U.S., we will focus on meeting U.S. travel clinics in major metropolitan areas and hence we are focused on the top performing travel clinics in these major markets using a small dedicated sales force. In the EU, we intend to employ an approach that is more country specific acknowledging the fact that such travels vaccine tend to be administered by clinicians, in which case we will develop marketing and distribution partnerships with initial emphasis on the largest EU countries. Next, let me update you on the 2008 clinical development objectives for our product candidates. With respect to our AIG therapeutic candidate, we plan to initiate a pivotal human trial and substantially advance our non-clinical trials during the year. We expect the pivotal human trial to be completed during 2009. As we move through the various development milestones, this product should be well positioned to receive a sizeable procurement contract from HHS as early as 2009. With respect to our oral typhoid vaccine candidate, we plan to initiate a Phase IIb study in the U.S., which is building on the successful Phase II trial in Vietnam completed last year. In addition, in 2009, we plan to start surveillance for a Phase III trial in India as well as initiating a Phase III trial in the U.S. and EU. And finally, with respect to our hepatitis B therapeutic vaccine, we expect to receive preliminary safety and immunogenicity data from the ongoing Phase II study at the end of 2008 or early 2009. In addition, based upon ongoing challenges that we have encountered with respect to recruitment of patients for this trial, we are evaluating various approaches to improve subject recruitment including possibly expanding the Phase II program to additional sites around the world. Now, let me briefly update the status of our manufacturing outlook for 2008. As mentioned earlier, we expect to complete process validation including the manufacture of three consistency lots of BioThrax in our new large-scale manufacturing facility. If FDA agrees with our current plans on demonstrating bioequivalents through product characterization, then we may be able to submit the BLA supplement to our license in 2009. However, should the FDA require a human bridging trial to demonstrate bioequivalents in addition to product characterization, then the filing of a BLA supplement may not occur until 2010 at the earliest. And we plan to continue to improve our manufacturing efficiency in our existing facilities. Our target for 2008 is around 8 million doses, up from approximately 7 million doses produced in 2007. Lastly, let me revisit our business development objectives in 2008. We plan to acquire a late stage commercial product candidate which would augment our advanced pipeline and is consistent with our corporate goal strategy. In parallel to our efforts to expand our commercial pipeline, we also have pursued selective opportunities to further bolster our biodefense portfolio. As I discussed earlier, on May 5, we acquired the recombinant anthrax vaccine candidate rPA102 from VaxGen. Recent improvements to the rPA vaccine specifically related to stability as it is well positioned to be a leading candidate for an award under an RFP recently issued by HHS. Vaccine candidate has completed one Phase II clinical study. With our proven track record of delivering critical biodefense countermeasures to the U.S. government and given HHS' stated commitment to procure up to 25 million doses of the recombinant anthrax vaccine for the SNS, we view this acquisition as a strategic move for us. rPA102 has the potential to become a complementary product to BioThrax, the world's only FDA licensed anthrax vaccine. We believe that the U.S. government will buy BioThrax and the licensed rPA vaccine when available for the SNS over the long-term. In short, we felt this was the right opportunity for our company at the right time. In addition, we are pleased to provide the U.S. government with the important option to select an advanced rPA anthrax vaccine candidate from a domestic manufacturer. As the premier domestic biodefense supplier, this was a natural fit for us. Lastly, we are also devoting time and attention during 2008 to securing additional NGO and government grant funding to advance multiple products in our pipeline. This of course is in line with our approach to mitigate development costs through non-dilutive arrangements with third parties including NGOs and government related entities worldwide. In conclusion, we have managed to build on our success from 2007 and achieved a great deal in the first quarter of 2008. Such forward momentum is what we continue to work towards and remain confident that we continue on our path to achieving our goals for 2008 and beyond. I look forward to keeping you all appraised of the progress we make throughout the remainder of the year. That concludes my prepared comments. Don will provide greater detail on our financial results for the first quarter. Don?
Don Elsey: Thank you, Fuad. Good morning everyone. As Fuad mentioned, we released our first quarter 2008 financial results this morning prior to the opening of the markets. Press release is available on our Web site. Later today, we will be filing our quarterly report on Form 10-Q with the SEC. The 10-Q will also be available on our Web site and on the SEC's Web site once it has been filed. As Fuad said, our financial performance during the first quarter of 2008 was very strong and we are very pleased with the results. During the quarter, we continued to execute against our $448 million multiyear contract with HHS, delivering doses of our licensed product BioThrax for inclusion in the SNS. We continued to invest in the development of our product pipeline and the advancement of our large-scale manufacturing capability in Lansing. At the same time, we vigorously managed our spending in manufacturing, development and in general and administrative areas and pursued efficiencies wherever possible. This enabled year-over-year improvements in almost all key financial metrics. Now I would like to give you a summary of our financial results for the first quarter of 2008 and I will start with product revenues. First quarter 2008 product sales increased by $15.1 million or 53% to $41.5 million up from $25.4 million for the comparable period of 2007. The increase in revenue was driven by a 68% increase in the number of doses of BioThrax. Product sales for Q1 2008 consist of primarily of BioThrax sales at HHS of $41.1 million. Turning to contracts and grants revenues; first quarter 2008 contracts and grants revenues increased by $200,000 or 21% to $1.2 million, up from $1 million for the comparable period of 2007. Contracts and grant revenues for Q1 2008 consisted of $800,000 from the Sanofi Pasteur collaboration related to the recognition of deferred revenue associated with the upfront payment received in 2006 as well as development service revenue, and $400,000 from the NIH related primarily to our AIG program. Moving on to the cost of product revenues and gross margins. For the first quarter of 2008, cost of product sales increased by $2.5 million or 45% to $8 million, up from $5.5 million for the comparable period of 2007. The increased cost of goods sold was driven by the increase in the number of doses of BioThrax delivered, offset by decreased costs associated with improved production yield. Gross profit margin on product sales in first quarter of 2008 improved to 81% versus 78% in the first quarter of 2007. Turning now to expenses; research and development expense; for the first quarter of 2008, research and development expenses decreased by $4.1 million or 26% to $11.5 million, down from $15.6 million for the comparable period of 2007. This decrease reflects lower outside contract service costs related primarily to the collection and vaccination costs for our AIG program as this product is moving for the final stage of product development. In the area of SG&A expense, for the first quarter of 2008, SG&A expense increased by $900,000 or 8% to $12.1 million from $11.2 million for the comparable period of 2007. This increase was driven by the increase in staffing and legal and other professional service spending to support the requirements in being a public company and supporting our overall growth as a company. To finish up on the P&L, we turn to net income. For the first quarter of 2008, our reported net income was a profit of $7 million or $0.24 per basic and diluted share. This is a significant improvement from a net loss of $2.7 million or $0.10 per diluted share for the first quarter of 2007. In addition, our outstanding shares at the end of the first quarter 2008 was 29,750,000 which is an increase of nearly 7% over the share count for the comparable period of 2007. Looking at the elements of the balance sheet, our cash and cash equivalents at March 31, 2008 were $92.7 million compared to $105.7 million at December 31, 2007. The net decrease in cash and cash equivalents resulted primarily from net cash used in operating activities and investing activities of $4.8 million and $10.4 million respectively offset by net cash provided by financing activities of $2.3 million. Finally, we would like to address our previously published 2008 financial guidance. For 2008, we are reaffirming our expectations for full year total revenues of between $180 million $195 million and net income in excess of $20 million. We anticipate that our current cash position in addition to our internally generated cash flows will allow us not only to invest in our current pipeline of product candidates but will also enable us to continue pursuing our strategic objective of acquiring additional late stage vaccine and therapeutic candidates that address critical unmet and underserved medical needs. That concludes my prepared comments and I will now turn the call to the operator so that we can begin the question-and-answer portion of the call.
Operator: (Operator instructions) And your first question comes from the line of Richard Smith with JP Morgan. Please proceed.
Richard Smith – JP Morgan: Yes, good morning everyone.
Fuad El-Hibri: Good morning.
Don Elsey: Good morning Rich.
Richard Smith – JP Morgan: Good morning. Just a quick questions; So with respect to – how many doses was delivered to HSS in the first quarter, do you have the number?
Fuad El-Hibri: Sorry, you were breaking up a bit. Could you repeat your question please?
Richard Smith – JP Morgan: How many doses were delivered to HHS in the first quarter?
Fuad El-Hibri: We delivered approximately 1.8 million doses, Richard. Normally, we don't give specific dose information deliveries at HHS but it's in that ballpark.
Richard Smith – JP Morgan: Okay, thank you. And with respect to the acquisition of the rPA102, could you just provide some details of how it compares to the pharmacy (inaudible) rPA vaccine that's in development?
Fuad El-Hibri: Mike, maybe you can kind of address how –?
Mike Langford: Sure. Some of the differences I guess that's maybe why we are more focused are the expression systems that we use. So the expression system for the product we acquired, rPA102, is (inaudible) as we used to produce our current licensed vaccine. We see some of the advantages of that – of the way it expresses the protein. It expresses the full length protein in a soluble form versus the (inaudible) inclusion bodies, which require breaking up of the cell for the purification and resultant truncated protein and we see that as a potentially more effective vaccine in terms of the fact that it has all of the (inaudible). We think that's one of the significant advantages. We also think that VaxGen prior to our acquisition related substantially increased the stability of this product. We know that there are stability issues with rPA in general from our previous work with this. Although I can't speak directly to the pharmacy products, we do believe we probably have a superior product in terms of stability. So we have the expertise for production. We believe the product produced is superior in terms of recombinant products and we believe the stability that we are going to see is going to be superior to other products.
Richard Smith – JP Morgan: With respect to the RFP that is out there for the second generation, are there any attributes that you still need to work on to fulfill that RFP requirement?
Fuad El-Hibri: We believe that we are well positioned to submit a strong bid under the existing RFP, Richard.
Richard Smith – JP Morgan: All right, thank you.
Operator: And your next question comes from the line of Eric Smith with Cohen & Co.. Please proceed.
Eric Smith – Cohen & Co.: Good morning, thanks for all the updates. On the DoD side, Fuad I think you mentioned that the Department of Justice would require additional supply of BioThrax in 2008 if it were to continue with this ongoing program. Can you talk a little bit more in detail about your updated discussions with them, when a contract might occur, whether that contract wouldn't be through HHS and maybe what kind of size order would be required for the continued program?
Fuad El-Hibri: I can tell you that we have been informed that DoD and HHS have come to an agreement with respect to fulfilling the DoD requirements and that HHS is currently evaluating to what extent that will result in a modification to the existing contract because the intent was and still is that every dose requirement by DoD will translate into additional purchases by HHS or (inaudible) the government procurement process takes time. We still are confident that this year, we will receive a modification to accommodate DoD's requirements. As to the amount, I can only point back to history where – over the last ten years, the requirements was anywhere between 1.5 million to 2 million doses per year and there was nothing looking into the future that would suggest that the requirement would change in any major way.
Eric Smith – Cohen & Co.: And you still think that those doses would be in excess of the 18.75 million.
Fuad El-Hibri: Yes, I do.
Eric Smith – Cohen & Co.: And since you are in the mood, I guess to give out those information on this call, can you tell us how many doses are under the 18.75 million contract?
Fuad El-Hibri: I can help you with that, Eric. The 18.75 million doses are almost evenly planned to be delivered around 6 million in '07, we plan to deliver around 6 million this year, and then around 6 million next year. Does that help a bit?
Eric Smith – Cohen & Co.: Very much. Next question is on your production capacity. You said you were now up to about 8 million doses in '08 versus maybe 7 million or so last year. Can you talk about what exactly happened there and whether you are confident you will use all that capacity, sell out that capacity?
Fuad El-Hibri: If you just do the math, we are looking at selling around 6 million doses to HHS and then DoD will come in at about 1.5 million to 2 million doses with the (inaudible) meeting our full output for '08 plus our international efforts are getting even further traction. As I mentioned before, we did have another sale and we continue to sell additional doses over the next three quarters of this year. So, yes, increasing the capacity from 7 million to 8 million translates into potentially having a million doses addition therapy.
Eric Smith – Cohen & Co.: And what drove of the capacity expansion is?
Fuad El-Hibri: We drove some continuous minor – and I say minor since we have already dealt with the low hanging in terms of optimizing the manufacturing process given the current 100 meter scale process. We are tweaking the last bit and plus we are also adding additional shifts so that we utilize it 24/7.
Eric Smith – Cohen & Co.: Okay. Last question, in your preliminary comments, you mentioned that your cash on hand and your cash flow allows you to pursue late stage product acquisition to broaden or deepen your portfolio. Could you help us understand a little bit more what you are looking for there?
Fuad El-Hibri: We are looking for a late stage vaccine or therapeutic in biologics of course and late stage will mean either Phase II or a Phase III product. It maybe any infectious diseases that – where we will focus but it would be outside infectious diseases and all I can tell you is that that's one of our main strategic objectives. We are making progress and it will be great pleasure to announce the deal once it is – when we reach that point.
Eric Smith – Cohen & Co.: What's your willingness to take on earnings dilution associated with such a transaction?
Fuad El-Hibri: It really depends on the size of the transaction, Eric, because obviously we want to maintain a healthy cash buffer. We have some cash we believe that we can use towards an acquisition either a company or for us to the extent that there is a requirements for further considerations certainly as it is coming off.
Eric Smith – Cohen & Co.: Okay, great, thanks so much.
Operator: And your next question comes from the line of Daniel Mallin with WBB Securities. Please proceed.
Daniel Mallin – WBB Securities: Yeah, hi guys, congratulations on the quarter as well as the interesting strategic acquisitions. My question is having to do with the number of doses or total sales, most specifically, I know that this most recent contract signed with HHS has an order smoothing so as – where in previous years, quarter-over-quarter sales to HHS was very lumpy mostly loaded in the back end of the year. The delivery schedule on this business on track, it's going to be more consistent quarter-over-quarter. Not knowing the details of that, is there any insight in terms of the total revenue relative to the expected revenue to suggest that this was maybe more than expected or about as much as expected relative to that contract?
Fuad El-Hibri:
Daniel Mallin – WBB Securities: So, interpreted slightly differently, the real story is in the full year sales, not in the quarter-over-quarter.
Fuad El-Hibri: Yes, that's absolutely correct, Dan and this is what I keep repeating to our investors is that it's very important to understand that this is an annual business and when you work with government contracting and defense we look at it year-over-year and try to smoothen out quarterly performance as we can but it's a year-over-year story.
Daniel Mallin – WBB Securities: And lastly, on the acquisition of the rPA candidate, I know there is an existing RFP out there for this next stage. I don't know what the submission deadline is but considering – call it Rocky history of a particular program, are you guys confident that you will be able to put together a strong submission for this outstanding RFP for the HHS?
Fuad El-Hibri: Yeah, let me answer your question very thoroughly. Absolutely, we feel that this rPA candidate with the stability issues apparently resolved to our credit match; we believe is a very strong candidate and VaxGen development program was always the most advanced one historically. We just ran into a difficult when – as for their second Phase II trial as there were some stability issues with the formulation but since then, VaxGen has, we believe, solved their stability problem and that's partially the reason why we completed that acquisition and we believe that it's a strong candidate. We believe we are well positioned and we believe we have a good chance.
Daniel Mallin – WBB Securities: Okay, that's all I have. Thank you and congratulations again on the quarter.
Fuad El-Hibri: Thank you.
Don Elsey: Thank you.
Operator: (Operator instructions) There are no additional questions at this time. I would like to turn your call over to Mr. Robert Burrows for closing remarks.
Robert Burrows: Thank you Karin. Ladies and gentlemen, that concludes today's call. Thank you for your participation. Please note that today's call has been recorded and replay will be available beginning later today through May 21. Alternatively, there is available a webcast of today's call, an archive version of which will be available later today, accessible through our web site at www.emergentbiosolutions.com and clicking on the Investors tab. Thank you again and we look forward to speaking to you all in the future.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.